Frode Arntsen: Good morning everyone and welcome to the presentation of SalMar’s Results for the Third Quarter of 2023. My name is Frode Arntsen, I’m the CEO of SalMar. And with me today is our CFO, Ulrik Steinvik. Our presentation will follow the same order as before. I will take you through some highlights and the operational results for the different segments, then our CFO will provide you with a financial update. I’ll focus on sustainable growth on the terms of the salmon, before wrapping up with an outlook for the future. Third quarter ‘23 was a very strong quarter for SalMar. Despite the expected drop in salmon prices, the increased volume we have harvested and reduced cost in the value chain have contributed to our ability to report higher operational EBIT compared to the previous quarter. Total from Norway, we harvested 74,000 tons, with a margin of NOK30.7 per kilo, resulting in an operational EBIT of NOK2,274 million. Including Icelandic Salmon and SalMar Aker Ocean, we harvested 78,100 tons, with a total operational EBIT of NOK2,300 million and a margin of NOK29.5 per kilo. The farming segments in Norway delivered strong results, with record high harvest volume and reduced cost level compared to previous quarters. Sales and Industry continues to show good performance and showcased the strength in the setup we have in SalMar. And on Iceland, harvesting started again after a stop in second quarter. In addition, we have two semi-offshore projects in operation, after we also transferred fish to the Arctic Offshore Farming project. At the same time, we have improved and strengthened our financial position through the sale of Frøy, new financing agreement and reduction of debt due to good operation. In addition, we will cancel 13.1 million treasury shares in Q4. Ulrik will comment more on this later. To sum things up, we are very pleased with the results in the period. Additionally, we had the pleasure of hosting several of you investors in Tjuin and Senja in September, where we were able to showcase the value chain and our future plans at SalMar. Our own employees certainly enjoyed the opportunity to showcase their workplace, and I hope many of you also appreciated the visit. For 2023, we are maintaining the volume guidance unchanged for Norway and SalMar Aker Ocean, although we are making some minor adjustments within the segments. On Iceland, we are increasing the guidance for ‘23 by 1,000 tons up to 17,000 tons. And for Scottish Sea Farms, guidance is reduced with 2,000 tons to 25,000 tons. And we anticipate significant growth in 2024 as we begin to realize the potential in our licenses. I will come back to this towards the end of the presentation. But first, I’d like to go through the operational update, beginning with farming in Central Norway, where we harvested 48,400 tons with an operational EBIT of NOK1,218 million and an EBIT per kilo of NOK25.2. There has been good operational performance in this period. And as expected, the cost levels are lower than in the second quarter. We had record high harvesting volume during this period, harvesting from several well-performing sites. And we continued the harvesting of our ‘22 generation in the third quarter and also commenced harvesting of the autumn ‘22 generation. Although we faced challenges at some sites, including outbreaks of diseases like ISA, the impact has been limited due to the high volume from sites performing well. Looking ahead, we will conclude that the harvesting of our 2022 generation in the fourth quarter and continue harvesting the autumn 2022 generation. The status of the fish in the sea is, for the moment, good. Moving into the fourth quarter, we anticipate a slight reduction in volume as we adjust the volume guidance downwards by 4,000 tons to 144,000 tons. This is due to slightly lower growth than planned despite the fish overall good condition. We expect costs to remain at the same level. In Northern Norway, we harvested 25,700 tons in the period, with an operational EBIT of NOK868 million and EBIT per kilo of NOK33.8. Northern Norway continues to deliver very strong results, driven by efficient operations throughout the value chain. As expected, the cost levels are slightly higher compared to the previous quarter. But with the high average weight of harvested fish, we have achieved a good price for the fish in the period, resulting in a positive outcome. NRS accounted for 24% of the volume. And we see that the cost difference between old SalMar and NRS is gradually narrowing. In this period, we concluded the harvesting of the autumn ‘21 generation and continued the harvesting of our ‘22 generation. Looking ahead, we will continue the harvesting of our ‘22 generation in the fourth quarter, and we expect a stable cost level. Similar to Central Norway, there is also a good biological status in the north. We have experienced good biological performance throughout ‘23 in Northern Norway. And even though we are transferring 4,000 tons to the SalMar Aker Ocean segment due to Arctic Offshore Farming, now being a part of this segment, we are maintaining 95,000 tons in Northern Norway. Therefore, we anticipate higher volume in the fourth quarter compared to what we had in Q3. The segment Sales and Industry delivers an operational EBIT of NOK236 million. In the third quarter, our facilities have handled significantly higher volumes. We see that the structure we have built in SalMar, with a focus on high harvest capacity, higher local processing capacity near the areas where we operate in the sea, really comes into effect in quarters like this. This is particularly important when we have quarters with high volumes as we are able to adjust the harvest output to optimize the biological performance at sea, while further processing gives us the flexibility to tailor products to the market. This has allowed us to manage the fish effectively and achieve good prices in the market for the quarter, while also achieving high capacity utilization of the facilities. The contract share was as expected at 15% in the quarter, where a lower salmon price contributed to the positive contribution from fixed price contracts. In the fourth quarter, we still expect high volume through our facilities, and we anticipate the contract are to remain around the same level as in the third quarter. We have secured some new contracts through ‘23, and are actively working with our customers to establish new agreements and models for 2024. Resource rent tax and norm price council still lead to some uncertainty. But as usual, we will provide an update on contract share for 2024 in the next quarterly presentation. Now to the West yards in Iceland. After no harvesting in second quarter, harvesting resumed in the third quarter. We harvested 4,000 tons in the quarter with an operational EBIT of NOK35 million, NOK8.7 per kilo, a weak result driven by higher cost on the fish we have harvested. At the end of September, a Capital Market Day was held and Iceland Salmon was also listed on the Icelandic Stock Exchange. We believe that listing on the Icelandic Stock Exchange is important for the company’s further development, allowing us to attract even more local shareholders in Iceland. Looking ahead, we are increasing the volume guidance for ‘23 by 1,000 tons, up to 17,000 tons, which means we expect higher volume in the fourth quarter. We have also secured a new financing agreement of €100 million in the fourth quarter, which facilitates the further growth plans we have in Iceland. Additionally, we have faced biological challenges at the beginning of the fourth quarter. which will impact the result in Q4 ‘23 and also the volume guidance for next year. High sea lice pressure has led us to take out fish to ensure good biological status heading into winter. A one-off effect will also be recognized in Q4 ‘23 estimated around €5 million to €6 million. This is not ideal for us, of course. But given the situation, it was the best solution to safeguard the fish welfare heading into a cold winter. I will return for the expected volume for next year later on. For the third quarter of 2023, SalMar Aker Ocean had an operational EBIT of minus NOK8 million. Due to production being underway at Ocean Farm 1, a larger portion of the cost is allocated to the biomass, resulting in better results than in previous quarters. Additionally, we have also transferred the Arctic Offshore Farming project to SalMar Aker Ocean. This strategic move consolidates the focus on offshore operations in one place, allowing us to optimize how we manage the two projects in operation. As mentioned under segment Northern Norway, this also means that we expect volume from this segment in the fourth quarter. We anticipate harvesting around 4,000 tons in the fourth quarter, and it will be interesting to see the results once we finish the first production cycle at Arctic Offshore Farming. Note that costs will be higher for this fish since depreciation is fully allocated. In the strategic update, I will come back to how we envision offshore operations in light of the regulatory uncertainty we face for further offshore growth here in Norway. And now, let’s move to Scotland, our associated company Scottish Sea Farms, which delivered a weak result by slightly, but slightly better than the previous quarter. In the third quarter, the company harvested 8,800 tons with an operational EBIT of minus NOK121 million and EBIT per kilo of minus NOK13.7. As we mentioned in the previous quarter, the biological situation in Scotland remains challenging. This has affected the harvesting volume and the challenges have led to harvesting fish with low average weight, high cost and also achieving a low price. In addition, the figures for third quarter are affected by cost related to event-based mortality, especially in Shetland and Scotland, which further impact the results negatively. Looking ahead, the situation is improving for generations we are planning to harvest in 2024. Several locations with fish that have biological challenges have now been emptied, and we see improvements in the biological status for the generations to be harvested in 2024. In ‘23, the volume guidance is reduced with 2,000 tons, down to 25,000 tons. Therefore, we expect low volume in the fourth quarter. However, we are doing this to grow the fish so that we can achieve higher volume in ‘24. As mentioned in our Capital Markets Day, where we also had Managing Director of Scottish Sea Farms, Jim Gallagher, we are fully focused improving the situation through entrapments in smolt sea facilities and treatment capacity. This takes time, but we are committed to resolving this. Scottish Sea Farms has previously been known for a margin leader in the U.K., and we aim to regain this position. With this, I have come to the end of the operational update, and I would like to hand over to Ulrik who will take you through the financial update.
Ulrik Steinvik: Thank you, Frode, and good morning to all of you. At the end of September, it was 11 months since the acquisition of NTS, NRS and SalmoNor was completed. In the same period, strategic measures have been implemented. The financial results, the financial position and the financial key figures that I will take you through in this financial update, therefore, reflect more accurately the new somewhat. But first, one aspect that requires further comments in connection with the review of the financial results and the financial position is the resource rent tax. In the reporting of the second quarter numbers, SalMar recorded NOK2.3 billion as an implementation effect, which is part of this year’s tax expense. The implementation effect indicates that the introduction of the resource rent tax was retroactively applied. It speaks, therefore, to the expropriation of values and does not provide insight into the effect of the resource rent tax on this year’s value creation. An updated estimate of the resource rent tax expense for the first 9 months of 2023 has been incorporated into the third quarter financial statement. Like regular corporate tax, the resource rent tax expense includes both payable resource rent tax and changes in deferred resource rent tax. We consider the accounted cost to be our best estimate at the present time. However, we will use the time until year end to review and further detail out our own calculations. This is a time-consuming task. SalMar farming requires more than just area and water, and determining the correct tax base for the resource rent tax object is demanding, both in terms of time used and create rules, and by requiring a shift in mindset from looking outward to looking inward in this work. Therefore, we will not communicate specific details in the calculations or estimate on effective tax rate, but we would like to remind you that the calculations take into account that only the commercial licenses are included. In addition, SalMar will receive an annual deduction of NOK245 million for the first 5 years as a result of previous purchases of licenses in the traffic light system. In total, the estimated resource and tax expense, including production tax for the first 9 months of the year, is NOK1.2 billion. When adding the implementation effect recorded in the second quarter these totals NOK3.5 billion. We in SalMar have consistently expressed our clear opposition to the resource rent tax, both regarding the proposed model and level. Additionally, when the government is not introducing a resource rent tax on offshore farming but considers doing when it becomes profitable later, it makes it worse and demonstrates how wrong model and basis for tax are. Frode will talk more about this later. For us, we will continue to be – important to maintain an open and fact-based dialogue with the authorities and other stakeholders to highlight the consequences of the tax, with a goal to establish a model better suited for the industry and communities along the entire coast. Let me now provide some comments related to the profit and loss statement for the third quarter of 2023. As Frode already mentioned, the third quarter was a relatively good quarter for SalMar, where, and what you can see in the upper right corner, the operational EBIT increased by NOK555 million, from NOK1,745 million to NOK2.3 billion. The increase in operational EBIT from the second quarter happened despite lower salmon prices in the period. Increased harvest volume and lower costs in the value chain counteract the decline in salmon prices. Additionally, there was a positive change due to the volume from Iceland and the start of production in SalMar Aker Ocean. Moving on to the profit and loss statement. You can see that we paid NOK73 million in production tax in Norway and resource tax in Iceland. This is a significant increase from the second quarter driven partly by volume, but also as a result of the production tax in Norway increasing from NOK0.56 per kilo to NOK0.90 per kilo from 1st of July 2023. Due to higher biomass and continued high prices, fair value adjustment is positive. This value change increases the result by NOK424 million. The result from associated companies was minus NOK18 million in the third quarter. But a weak result from Scottish Sea Farms affected the overall figure. Our new associated companies after the merger with NRS, Hellesund Fiskeoppdrett and Wilsgård Fiskeoppdrett, contribute slightly positively due to a low harvest volume. Net financial expenses in the third quarter amount to NOK329 million. This is an increased cost compared to previous years due to both higher debt and higher interest rates. In total, this resulted in a pretax profit NOK2.3 billion. Regular corporate tax, along with estimated resource rent tax for the first 9 months of the year, totals NOK1.6 billion. Consequently, the after-tax profit for the third quarter is NOK681 million, with the entire cost of the resource rent tax for the first 9 months charged in the third quarter. Due to the sale of Frøy in August, we have recognized a gain from the sale of NOK363 million. Together with Frøy’s result in the period, the result from discontinued operations totals NOK385 million. This gives us a combined total reserve of around NOK1 billion after tax for the third quarter. Year-to-date, you can see that the total result is NOK2.1 billion include the effect of Frøy.  And now turning to the balance sheet, where financial key figures have significantly improved through the sale of Frøy, a new financing agreement and a reduction in debt. In 2023, we continued with our investment program for the already approved investments. We have a higher biomass at the end of Q3 2023 compared to Q2. But really, it is higher compared to the previous year due to the acquisitions. The total balance has, however, decreased from around NOK64 billion to NOK53 billion as a result of the sale of Frøy. Through the reduction in the total balance and a positive result, including resource rent tax in the period, the equity ratio has increased to 40%. Debt has been reduced by NOK6.8 billion. And the key figure for debt ratio NIBD, including leasing to EBITDA, has been reduced to 1.9. Without leasing, the debt ratio is 1.7. This is below our goal of being below 2.0 in debt ratio, which has been achieved in the 11 months period since the acquisition last year. Along with the fact that we established a new financing agreement in August, we have NOK8 billion in available liquidity in the group at the end of the third quarter. Overall, the balance sheet and the financial key figures show that we have a robust financial position and a platform that is ready for further sustainable growth, provided that the framework conditions enable profitable growth. Furthermore, the dividend policy remains unchanged and will apply going forward and for 2023. Additionally, we would like to remind you that in the Extraordinary General Meeting in October, it was resolved to cancel 13.1 million treasury shares. This will be canceled when the intra-group merger with NTS is completed, which we expect to happen in the fourth quarter. I would like to briefly explain the changes in net interest-bearing debt, including leasing, NIBD for the quarter. We started with NIBD including leasing of NOK22.5 billion. During the period, we have sold assets that reduced our debt by NOK4.8 billion, bringing NIBD including leasing to NOK17.7 billion. In the period, we have had a strong cash flow from operations with EBITDA at NOK2.6 billion. Tax payments amounted to NOK95 million in the quarter, and there was a change in working capital of minus NOK358 million. Previously approved investments have continued a period. In total, this amounted to NOK429 million in the quarter. As you can see in this quarter, smolt investments are starting to decrease as we are nearing the completion of the facility at Tjuin. In addition, ongoing intense in both maintenance and capacity investments in other parts of the value chain continue. Our largest capacity investment will be completed during 2023. And there are clearly no new major capacity investments in Norway as this have been put on hold due to the resource rent tax. Therefore, the CapEx level will be reduced going forward, and it will be associated with the maintenance CapEx. We have previously communicated that the new level of maintenance CapEx will be around NOK3 per kilo. When we consider what we have spent on interest and lease payments in the period, we ended with NOK15.7 billion in NIBD, including leasing, at the end of Q3 2020. This is a reduction of NOK2.0 billion beyond the effect of the sales of assets in a period. As mentioned in the previous quarterly presentations, where we provide an update on the realization of synergies from the acquisition of NTS, NRS and SalmoNor throughout 2023, we anticipate that this will be the second to last time we present this graph as it will no longer be necessary after 2023. This does not mean that SalMar’s cost focus will change, but rather, by year-end, we will have an even more efficient SalMar. By the end of the third quarter, we can report that 75% or NOK635 million of NOK844 million in annual cost savings has already been realized. Estimated restructuring costs to achieve this remain unchanged. These amounts represent annual recurring savings related to optimal operational structure, increased efficiency and economies of scale. As known, some of the potential will take time to be reflected in the P&L. So it is good to note that the improvements are already starting to have effect in the figures for Q3, where the difference in cost between old SalMar and merged companies is decreasing. It’s all about utilizing the potential in our shared resource base, such as other licenses and facilities in the value chain. The improvement in utilization has continued into September and ongoing assessments are being made for further improvements in production plants. This may affect volume in the short-term, but is necessary to facilitate increased volume over time. Frode will provide specific details on volume shortly. As an example of other initiatives to optimize the value chain, we have sold SalmoNor Settefisk during the period. This was considered and concluded to be reasonable considering other capacities. As part of the optimization of the value chain, we have also transferred Arctic Offshore Farming to SalMar Aker Ocean. This supports increased strategic focus and consolidation of offshore farming expertise. It will also allow for optimal utilization of the units we have in operation. And with this, I’ll come to the end of the financial update, and would like to give the word back to Frode.
Frode Arntsen: Yes. Thank you, Ulrik. As we mentioned before, SalMar is a growth company with a strong history and significant potential for further expansion. Step by step, we have reached new milestones in both volume and earnings. We have always taken action that fit operationally and strategically, and this has led us where we are today, the world’s second largest salmon company with substantial plans for future growth. In the third quarter, we achieved yet another milestone. We have never harvested so much fish, and we have never had higher operating results from our operations here in Norway. Perhaps this is also the highest result in Norway in the industry measured in absolutely terms. While we have previously had the highest result measured per kilogram, being the highest in absolute terms is another milestone for us in SalMar. We will carry this momentum forward. As mentioned during the Capital Markets Day, we have significant organic growth potential without the need for major investments in the value chain. The investments made in the value chain in recent years will enable us to reach an annual harvesting volume of 362,000 tons within 3 to 4 years, as we said during the Capital Market Day. And this growth story would not have been possible without the strong strategic and operational focus we have in SalMar. Our entire business is built around the idea that salmon should drive and the salmon – on the salmon terms, as we like to put it. Our vision, passion for salmon clearly demonstrates our commitment to this. Recently, there have been several negative reports around fish welfare mortality in the industry. But as an industry, we must be prepared to be scrutinized. Good fish welfare is crucial for success and is the main reason why SalMar has performed well over the long term. That’s why SalMar has invested heavily in the entire value chain, combined with the pursuit of the best locations in recent years, all to give the salmon the best possible conditions to thrive. Salmon has solid metrics for fish welfare, and we know that we perform well in this aspect. But this is no reason to rest in our laurels. We always strive to improve because we understand that good biology equals good economics. Therefore, this will continue to be our primary focus, operating on the terms of the salmon. We aim to lead in this area. Salmon is already one of the most sustainable animal proteins, and we will continue to make the industry even more sustainable. At SalMar, we are and will continue to be proud producers of healthy Norwegian sustainable food, salmon. There is a strong market for salmon out there. And we are – to succeed in providing our product to customers worldwide, we must leverage the potential we have. That’s why we plan to increase our volume in 2024 and beyond. We expect a significant increase in volume in 2024 as we begin to realize our potential. In Norway, we anticipate a production of 257,000 tons, an increase of 18,000 tons or 8%. This is where we will start to tap into the potential of our licenses. As Ulrik just showed you, the NIBD utilization is approaching 100%, and we aim to strengthen this further in 2024. Offshore, we expect 7,000 tons, an increase of 3,000 tons. This will be the third harvest from Ocean Farm 1, which we plan to complete in early 2024. And towards the end of ‘24, we anticipate another round from Arctic Offshore Farming. In Iceland, we anticipate 15,000 tons, a reduction of 3,000 tons. As mentioned, the biological challenges we faced in Q4 will affect the growth into ‘24. However, we still have a value chain in place to support further volume increase in Iceland. For Scottish Sea Farms, we expect 37,000 tons, an increase of 12,000 tons. This is a significant jump from ‘23, which has been challenging. As mentioned, we are implementing various measures to improve the performance in the UK. In total, we expect to harvest 298,000 tons, taking into account our relative share in the UK. This represents a 9% increase from ‘23, which amounts to a total of 25,000 tons increase. However, we are also interested in further growth beyond the organic potential we have identified. As mentioned, our development must be based on the conditions for the salmon. This is particularly evident in our offshore endeavors. By developing technology that enables operations in areas with optimal biological conditions, we aim to take the industry further out into the ocean, the natural habitat of the salmon. Due to regulatory uncertainty, SalMar Aker Ocean has decided that further work on offshore farming in Norway is currently on hold. To advance the industry, we need stable, predictable and sustainable framework conditions. This includes aspects such as taxation, area, licenses and more. SalMar Aker Ocean will now consist of two semi offshore units within their current production areas: Ocean Farm 1, which operates on the coast of Trøndelag; and Arctic Offshore Farming, which operates the cost of Troms. The company will now focus fully on utilizing the capacity of these units and continue to grow semi offshore through the production of sustainable Norwegian salmon. Additionally, we will explore opportunities outside of Norway. Now let’s turn towards the conclusion and the outlook for the future. The latest estimates for ‘23 indicate that there is no expected supply growth globally for this year. For ‘24, supply growth is anticipated to be positive, but still relatively low. We continue to observe strong demand for our products in markets worldwide. In this situation, SalMar is equipped for significant growth. We also have several options for further expansion and untapped potential within existing licenses in all regions. Our job is to ensure that both people and fish thrive, and to leverage the robust platform we have in SalMar. As I mentioned before, we need to work with both heart and mind to achieve this. I am confident that our talented workforce and the strong culture we have at SalMar will unlock the potential for further sustainable growth in Norway, Iceland and Scotland. I have covered the guidance for the fourth quarter and volume expectations for 2024, as summarized on the right side of the slide.  With this, we have come to the end of the presentation. Thank you for your attention. Our next presentation will be in February. And I hope everyone has a wonderful Christmas holiday season and celebration when the time comes. And of course, remember to enjoy plenty of delicious salmon also in the Christmas time. Thank you very much.